Operator: Good day and welcome to the Alexandria Real Estate Equities First Quarter 2018 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note today’s event is being recorded. I would now like to turn the conference over to Paula Schwartz with Investor Relations. Please go ahead, ma’am.
Paula Schwartz: Thank you and good afternoon, everyone. This conference call contains forward-looking statements within the meaning of the federal securities laws. The company’s actual results might differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in the company’s periodic reports filed with the Securities and Exchange Commission. I’d now like to turn the call over to Joel Marcus, Executive Chairman and Founder. Please go ahead, Joel.
Joel Marcus: Thanks very much, Paula, and welcome, everybody, to our Alexandria’s first quarter call. And with me today are actually much of our Executive Management team: including Steve Richardson, Peter Moglia, Dean Shigenaga, Tom Andrews, Jennifer Banks, Larry Diamond, Dan Ryan, and Vin Ciruzzi. Congratulations to the entire team on a really outstanding first quarter by all metrics and another quarter of truly operational excellence. In the November and December 2017 issue of the Harvard Business Review, they had an article entitled Turning Potential Into Success, and the article and the research on which it was based focused on companies that are overwhelmingly failing on one key metric of success, which is leadership development. In contrast, I’m proud to say, Alexandria is not failing on this key metric for success. In fact, our intense focus on nurturing key chain training and developing unit leaders at each and every level has paid exceptional dividends in fostering our culture of mutual respect, idea of meritocracy, long-tenured and high-performance teams, dear friendships, all within a high – highly focused mission-driven culture. In July 2016, we initiated world-class intense leadership and management training effort under the leadership of Jim Collins. A new succession planning strategy was also begun at all unit leader levels, as well at the executive management level. As you know, some of these efforts culminated in a series of press releases in March and April and there are some yet to come. The same starting team remains on the field, as I’ve said before, albeit at different position and not a single unit leader executive manager ever considered departing. When it came to the most senior executive leadership, the process was uniquely holistic and the outcome is evidence of the continuation of the Alexandria culture, vision and intended successful accomplishment of our five-year growth plan 2018 through 2022. Let me turn to our ecosystem for a moment or two. The five fundamental drivers impacting the life science demand, first one being basic research funding, the new Omnibus Spending Bill allocated an additional $3 billion to the NIH, up 9%. So for the fiscal year ending 2018, it’ll be about $37-plus billion. On the regulatory side of the FDA, they’re working very positively to expedite an increase drug approvals under the superb leadership of Scott Gottlieb and the Omnibus Spending Bill allocated almost a $0.5 billion, or up 10% in FDA funding. Medical research philanthropy sits at an all-time high north of $33 billion. Global commercial R&D funding sits at an all-time high approaching $200 billion. And on a very unique note, I’m proud to say the U.S. venture capital funding in life science for the first quarter hit $6.7 billion, the largest quarter on record for life science venture funding. And among the life science companies doing mega rounds, two were TCR2, which did a $125 million Series B and is in our 100 Binney project in Cambridge, next-gen immuno-oncology company and Rubio’s, a $100 million Series C, they are going to be at 399 Binney next-generation cell therapy. Also, San Francisco and Boston continue to garner the largest venture funding amounts, San Francisco at $1.7 billion and Boston at $1.6 billion. Venture funding is seeing a new wellspring in a diverse set of players that go well beyond the traditional venture firms, including public crossover investors, Asian venture fund, sovereign wealth funds and ultra high net worth family offices. Worldwide prescription drug therapy market is growing at about 6.5% compounded annually and will reach $1.06 trillion by the last year of our five-year growth and operational excellence plan in 2022. Companies, which were startups now account for an amazing 63% of all new prescription drug approvals over the last five years and it’s no wonder that pharma has now established venture arms and incubators to invest in these promising start-ups working on new drug technologies. Finally, I want to make a comment about ARE investments and Dean will give you granular analysis of this. This effort and key pillar of our business was started when we were private in 1996. Our single best investment today was our Series A in Google in 1998. Today, this pillar continues to be strategically core to what we do at Alexandria. One recent investment focused on unlocking the secrets of ALS, a disease which killed which killed Lou Gehrig and remained shrouded in mystery even today. As I stated before, there are about 10,000 known diseases to mankind today and only about 500, or 5% have addressable therapy. So we’re in the real early innings of the biology revolution. And with that, let me turn it over to our new Co-CEO, Steve Richardson.
Stephen Richardson: Good afternoon, everybody. Let me talk a little bit about the vision for 2018 and 2019. As we continue building our dominant franchise well into 2019, the path is clear and compelling. Alexandria’s business model based upon Michael Porter’s cluster theory of creating dynamic ecosystems upon its Class A science and tech urban campuses is providing exceptional value for our client tenants and our investors. Let me take a step back and share a bit of the philosophy behind our strategy and exciting path forward as it’s comprised of three essential elements; great people, a passion for excellence, and engaging with purposeful companies. The first element great people. The entire team at Alexandria possesses unique skills and talents to acquire, entitle, design, construct, underwrite, lease and broadly operate these technical and complicated mission-critical facilities and the following sentiments from our clients speak volumes about their dedication and passion for our mission. From a large pharma company, we’re excited to be working with ARE. Integrated teams committed towards common goals and optimal design for our science and a high-quality facility. From an exciting high-growth life science company, ARE has been a great partner, as the company has grown from three founders to over 250 employees. And from a leading tech company, ARE has ensured our vision of a tasteful workplace environment was achieved as a wonderful partner. We could not be more proud to serve the company’s mission of advancing human health, overcoming hunger and improving the quality of people’s lives alongside one another together. So for us, job number one is, ensuring we continually enhance our differentiated and proprietary products and delivering high-touch unparalleled service to our clients. A passion for excellence. As we’re building brick-by-brick, the ecosystems in our core clusters, it demands an intensity that can only be fueled by a passion for excellence in all realms. It’s important to emphasize here that 2.3 million square feet in our urban campus development pipeline is 81% leased and the client tenants range from the best of the best tech tenants to investment-grade pharma companies to exciting emerging-stage life science companies. Bit of a deep dive here. During 2018, these Class A facilities include 164,000 square foot facility fully leased to Takeda in San Diego, an inspiring and cutting-edge facility. The exceptional pre-leasing success, we’re now at 75% at 399 Binney, also 164,000 square feet, providing a platform for a well-financed emerging-stage companies. And in the southeast region in RTP, 5 Laboratory Drive, our very unique 175,000 square foot flagship ag tech facility, featuring state-of-the-art greenhouses. As we look forward well into 2019, the high-quality invisible growth continues and is well distribute across a number of key clusters. Menlo Gateway’s Phase 2 comprised of 520,000 square feet fully leased long-term to Facebook, which just posted a strong earnings beat with $12 billion in quarterly revenue, up 50% year-over-year in a market cap of $510 billion. In San Francisco, Uber’s 590,000 square feet at the championship Golden State Warriors, go Warriors, Chase Center in Mission Bay, a transformational urban campus and transformational company, featuring a bright future with its new well-regarded CEO. In South San Francisco 213 East Grand, cutting-edge innovation center totaling 300,000 square feet fully leased to Merck. And just down the road, a fourth building now totaling 211,000 square feet at 279 East Grand, anchored by Google’s Verily division as part of their 600,000 square foot campus alongside East Grand Avenue in South San Francisco. At 681 Gateway, 126,000 square feet anchored by an expansion with an existing client, Twist Bioscience, as they’re at the intersection of science and technology with its creation of synthetic DNA. Further north in Seattle, our spectacular waterfront 205,000 square foot facility at 1818 Fairview and importantly, in Maryland, a 49,000 square foot facility at 9900 Medical Drive and the remaining 58,000 square feet at 704 Queens Road. And finally, the essential ingredient engaging with purposeful companies. All of us here at Alexandria are honored to be a trusted partner and regarded as one to leading edge companies working to improve human health, including Juno Therapeutics, which was recently purchased by Celgene for $9 billion during the first quarter, our first – our anchor and full building tenant at the 290,000 square foot facility in Seattle, and our promising CAR T cancer treatment. Joel just mentioned, QurAlis, a company launched by notable Harvard professors taking a precision approach to treat ALS. In fact, on the West Coast, Vir Biotechnology, seeking to transform the care of people with serious infectious diseases. I can speak for our entire team, when I say that, we’re energized by the absolutely clear and compelling vision of our future, as we continue to build dominant positions in these core clusters for the benefit of our clients, communities and investors. I’ll hand it over to Peter now.
Peter Moglia: Thanks, Steve. I’m looking forward to working with you for another 20 years, really appreciate those comments. We’d like to briefly touch on our acquisitions last quarter. And as a reminder, our investment philosophy has been and will continue to be a strong preference to add value rather than paying for another company’s value creation. For acquisitions, this quarter reflect this philosophy and our historical track record of building dynamic communities to urban campuses. Alexandria Park is a multiple building generic office project in Palo Alto, the heart of the Greater Stanford cluster that will undergo a transformation to a fully amenitized life science and tech campus creating a highly desirable collaborative destination. 704 Quince Orchard Road in Gaithersburg, Maryland will create a highly differentiated set of laboratory suites from a generic office building. Summers Ridge in San Diego is a rare opportunity for Alexandria as you acquire a multi-tenant life science campus that is stabilized with credit tenancy, providing immediately accretive income, plus the additional opportunity to create value with additional FAR for future campus expansion. 100 Tech Drive in the Greater Boston market is a 200,000 square foot facility, leased by a fast-growing, high-quality existing Alexandria tenant, and also provides for future value creation with an additional 300,000 square feet to create a fully integrated 500,000 square foot campus. In addition to our acquisitions, it is important to note two recent laboratory office transactions that illustrate the property values and institutional demand for our product continued to be very strong. The Real Reporter in Boston reported last Monday that 4 black fan circle, a 270,000 square foot Life Science Research Facility in Boston’s Longwood medical area sold to investment advisor Intercontinental Real Estate Corporation for $275 million. We understand that the cap rate was in the high 4s, which is particularly impressive since the real estate is held in a somewhat complicated condominium structure. The article mentions that the asset was “aggressively pursued by investors from across the globe”. This is the first time we’ve heard of Intercontinental being a bidder for a life science asset. But it’s further proof that strong returns and credit profile of life science assets continue to attract Global Institutional Capital. We have also recently been made aware of a sizable laboratory office transactions in the Cambridge market that has recently closed at a mid-4 cap rate and expect details to come out shortly. A metric we’d like to highlight this quarter is the continued strength of our cash NOI in leasing spreads. Cash rental rate growth increased by 19% this quarter, primarily driven by the successful execution of our strategy to re-release below market rents at our Alexandria Center at One Kendall Square Campus, where the team continues to outperform the expectations we set at the time of acquisition. To finish up, we’d like to comment on the potential impacts of tariffs on the solid development pipeline Steve described earlier. With GMP contracts in place for all of our large projects to be delivered in 2018 and 2019, we will not have any exposure to increasing cost of tariffs, unless there is a scope change involving those materials, which is not anticipated. And although we source all of our steel domestically, our contractors have reported cost creep of 6% to 10%, or $100 to $300 per ton, as domestic providers have raised prices. This would translate to an overall 1% increase in total project cost, if applied to our current projects. We also have adequate contingency to cover anything that comes along. We have not seen price increases in aluminum yet. We source most of it domestically and the rest comes from Canada, which is currently exempted from tariffs. Overall, our conservative underwriting has historically factored in construction cost increases and we continue to monitor the trade policy closely. And with that, I’ll pass it over to Dean.
Dean Shigenaga: Thanks, Peter. Dean Shigenaga here. Good afternoon, everyone. I just want to cover four key topics today: first or one, first quarter results; second, review of the new accounting rule for equity investments; third, venture value creation pipeline in our balance sheet; and fourth, our 2018 guidance. As you know, we are off to a great start this year on our strategic priorities, on track to achieve another solid year of FFO per share growth of approximately 9%, and our team continued to execute quickly and efficiently. FFO per share for 1Q was $1.62, up 9.5% over the first quarter of 2017. Net operating income was up $34.6 million, or 17.8% over the first quarter of 2017. Comparing 1Q 2018 to 1Q 2017, the key drivers of the 17.8% growth in net operating income included almost 70% from development and redevelopment deliveries, about 20% from internal growth or same property performance, and the remaining 10% primarily from acquisitions. Same property growth has been consistently strong and net operating income growth was up 4% and 14.6% on a GAAP and cash basis, and we’re on track with our overall 2018 guidance of up 3.5% and 10% on a GAAP and cash basis, respectively. Continued constrained supply and strong demand drove solid rental rate growth of 16.3% and 19% on a GAAP and cash basis, respectively, on leasing activity for the first quarter. As Peter had mentioned, our One Kendall Square Campus located in Kendall Square was a key driver of leasing activity for the quarter. Cash rental rate growth was ahead of expectations, as our team executed on lease renewals and re-leasing of space at One Kendall Square, capturing significant cash rental growth related to below market leases that were in place at acquisition. However, GAAP rental rate growth was below cash rent growth this quarter since most of the GAAP rent growth was recognized in the initial purchase price of accounting at the acquisition date. As a reminder, at the beginning of 2018, we had very limited contractual lease expirations of approximately 5.8% of total leases in effect. As anticipated, we adopted new accounting rules around financial instruments, which applies to our equity investments, primarily in life science and a handful of technology entities. The new rule requires that we measure investments at fair value, recognize changes in fair value in net income, and prior to 2018, we did not recognize unrealized gains or losses in net income. As noted by Warren Buffett in his 2017 annual letter, this new accounting rule will likely generate $10 billion swings in net income that will swamp truly important numbers for Brookshire’s operating performance. Buffett also stated that what counts most is their normalized per share earnings power. We agree and we will clearly disclose the impact of our equity investments on our financial statements and normalized operating performance. We have three categories of investments from an accounting perspective. First, we’ve got publicly traded securities that we reflect at fair value based upon the closing stock price, which changes in fair value recognized in net income. There are two categories of privately-held entities or investments in privately-held entities without readily determinable fair value. First, there are investments in entities that report net asset value and are carried at approximately fair value based upon net asset value as a practical expedience required under GAAP, which changes in fair value recognized in net income. We also have investments in entities that do not report net asset value and are only adjusted upward or downward for observable price changes subsequent to 2017. These upward and downward adjustments are recognized in net income as well. Reflected in net income for the first quarter is $85 million of investment income, $72.2 million represents changes in unrealized gains, which was excluded from FFO per shares as adjusted. We also had a large realized gain of $8.3 million from an investment in the life science entity. And consistent with prior years, large and individual realized gains like this one have been excluded from FFO per share as adjusted. So only $5.1 million in realized gains in the first quarter was included in FFO per share as adjusted. Looking forward, some of our investment gains are event-driven, and therefore, it’s hard to forecast for gains for the future. However, I do recommend looking back over recent years in order to have some sense of the amount of potential gains for 2018 and beyond. In most of the recent years, the run rate for investment gains and other income has generally been between $10 million and $25 million per year. In this quarter, the $5.1 million in ordinary course realized gains included in FFO per share as adjusted. When you look at it on an annualized basis falls within maybe on the upper-end of this historic range of investment gains and other income. From a balance sheet perspective, it’s important to note the following under the new accounting rule. We hold $724 million in investments on our balance sheet consisting of cost basis of $511.2 million and unrealized gains of $213.1 million. Importantly, only $250.5 million, or 49% of our cost basis has been reflected at approximately fair value with unrealized gains aggregating $213.1 million or really an amazing 85% of unrealized gains on our total investment. Now the remaining $260.7 million, or the remaining 51% of total cost basis in our investments are still classified on our balance sheet at cost. So it’s probably inappropriate to extrapolate the 85% in unrealized gains to this half of our equity investments. But we believe there is significant value embedded in these investments. And please refer to footnote two and footnote six of our 10-Q that we will file shortly, and pages 43 and 50 of our first quarter supplemental package for additional information. Now turning to our value creation pipeline in our balance sheet. Our pipeline for deliveries in 2018 and 2019 now consist of $2.6 million rentable square feet, including $2.1 million rentable square feet targeted for delivery in 2019. These are about 80% leased, represent about $1.8 billion in – at completion and $1 billion remaining to fund, and we’ll generate very strong cash yields on our total investment approaching 7%. We also have a pipeline for potential delivery in 2020, approximating over 900,000 rentable square feet that our team is currently marketing for lease. As for funding, keep in mind, that our – in the first quarter, we completed our $817 million forward equity offering, including $714 million that will settle over the next three quarters. Additionally, in April, we raised $94 million under our ATM program and now have addressed 75% of our equity needs anticipated in 2018. Over the next three quarters, we will address the remaining $300 million of equity that we need for the year. Our approach with our ATM program is to remain disciplined, putting aside macro considerations for the moment, given the tremendous growth in cash flows, our stock price generally has grown on a relative basis to other REITs. While we take this into consideration, we also remain disciplined in our approach with our ATM program and generally have used the program over time through each year allowing us to blend our cost of equity capital. Turning briefly to credit metrics, we remain very committed to a continued improvement in our credit metrics each year, including net debt to adjust EBITDA, while we also focus on delivering solid FFO per share growth. Our goal remains focused on continued improvement in our relative long-term cost to capital. As a reminder, a detailed assumptions for 2018 guidance are included on page 5 of our supplemental package. We updated our guidance for EPS to a range of $2.88 to $2.98 and FFO per share as adjusted to a range of $6.52 to $6.62. The range of our per share guidance for 2018 was narrowed from $0.20 to $0.10 per share. Importantly, the midpoint of our 2018 guidance for FFO per share as adjusted was increased $0.02 at the midpoint. The key drivers for 2018 that we considered in our updated guidance included the continued strength of the real estate and life science industry fundamentals, which we expect to continue to drive strong internal growth in 2018 and then value creation opportunities for delivery beyond 2018. Our outlook is reflected in our 2018 guidance for same-property NOI growth. However, due to the size of our same-property pool today, which generates $700 million to $800 million of net operating income, $0.02 growth in FFO per share only move same-property NOI growth by about 30 basis points. As a result, our outlook for same-property performance remains strong and within the prior range of guidance for 2018. With that, let me turn it back to Joel Marcus.
Joel Marcus: Thank you, everybody. We’ll open it up operator for Q&A, please.
Operator: Thank you. We’ll now begin the question-and-answer-session [Operator Instructions] Today’s first question comes from Manny Korchman of Citi. Please go ahead.
Manny Korchman: Hey, good afternoon, everyone. Peter and Steve as you sit there in a co-CEO role, how do you each think about the differentiation also overlapping your roles? And how you manage through those situations where it seems like there is an overlap and what the CEO should be deciding?
Joel Marcus: Okay. This is Joel, and I’ll let each of them comment. But I think that the fact that the team has worked together for almost two decades. And the fact that we don’t have an org chart and we aren’t bureaucratically organized, make it very easy to move between issues and manage in a way that is highly effective. So I’m not sure they can give you or want to give you any granular detail, but it’s a pretty seamless operation. Steve, you could comment.
Stephen Richardson: Manny, hi, it’s Steve. Yes, it is important for everybody to remember, Peter and I have worked together for 20 years. And frankly, that’s the same across the executive team, as well as the number of people in the organization. In addition to that for seven, eight-plus years, Peter and I in the roles we’ve had as COO and CIO have been involved with the breadth and depth of the company as we will be as Co-CEOs, and we’ve actually been doing exactly this for a number of years. So there’s nothing substantially different. We’ve worked through these issues and we’ll continue to work through them with Joel and with the team and with each other.
Joel Marcus: I have nothing left to add. My distinguished colleague from San Francisco nailed it.
Manny Korchman: That’s what the color all is all about, right? Peter, while I got you there, the pending acquisitions that you guys have show in the supplemental.
Joel Marcus: Yes.
Manny Korchman: Are those similar sort of flavor as the stuff you’ve identified as closed or closer?
Joel Marcus: Yes, it’s a combination of existing assets with value creation embedded in them and then development, redevelopment types of properties.
Manny Korchman: And just likelihood of close on a $268 million?
Joel Marcus: Highly likely to close all of that.
Manny Korchman: Okay, thanks, everyone.
Operator: And our next question today comes from Sheila McGrath of Evercore ISI. Please go ahead.
Sheila McGrath: Yes. Good afternoon. I was wondering if you could discuss the other investments and talk about the strategic value of that arm for Alexandria, just the competitive advantages that it gives Alexandria either in underwriting or discussions with tenants? And then, Dean, if you can just clarify the $5.1 million in that flowing through that’s just the realized gains and that’ that the determinant?
Joel Marcus: So let me have Dean address that for Sheila and then I’ll talk about the strategy.
Dean Shigenaga: So, Sheila, the $5.1 million that we kept inside of FFO per share as adjusted is realized gains and it’s the normal realized gains that we have any given year maybe slightly higher this quarter compared to the last couple of quarters. But on average right down the fair – right down what we normally have.
Joel Marcus: Yes. And the item that Dean mentioned the $8-plus million was the recognition on the sale of Juno to Celgene. So strategically, as I said in my comments, Sheila, going back to 1996, when the company was still private. We felt that it was important for us to do a couple of things in using our balance sheet to invest directly in entities that made a big difference and Steve alluded to these differentiators. And that is one to really understand maybe most importantly, where the science is going. And if you don’t understand that, it’s hard to even begin to think about the tenant base how you underwrite, who you underwrite. So that’s number one. And I think number two is to be able to develop relationships with big winners and companies you can grow with over time, and so that becomes very important. Knowledge of the industry is critical. And so that’s another bedrock piece of the investment strategy. Clearly, financial gains is also paramount. We don’t do this as a hobby, we do it as a very serious financial, both I think, methodical and judicious approach that we always want to ensure we’re making money on, on a net basis. And I think also importantly, it brings us a level of, I think, respect and knowledge in our ecosystem that we’re not just a minor player. We are, in fact, one of the central players of the life science ecosystem.
Sheila McGrath: Okay, that’s helpful. And one quick follow-up. New York is now 100% leased. What’s next for Alexandria New York? How far long is the option parcel? And are there any other locations or opportunities on the radar?
Joel Marcus: So we still have a little bit of space. We’re moving people around there, but by and large, it’s relatively fully leased. We are in late-stage negotiations with the city on the letter of intent for the North Tower. We hope to maybe make an announcement over coming period of time. And then, I think, we clearly are looking at expansion in New York City and I would say stay tuned on that.
Sheila McGrath: Thank you.
Joel Marcus: Yes. Thanks, Sheila.
Operator: And today’s next question comes from Tom Catherwood of BTIG. Please go ahead.
Tom Catherwood: Excellent. Thank you, guys. Following up on Sheila’s questions on the investment book, I know it’s only 4% of total assets. But cost basis of this has increased roughly 40% over – each year over the past two years. What’s the ultimate size of this book in your mind, Joel, or are there any restrictions on how large it can get as a percentage of total assets?
Joel Marcus: Yes, I think you’ll see the cost basis, however, in about 4% to 6% of total assets. I think that’s where it logically is and probably will remain and will certainly continue to recycle investments they naturally recycle themselves to some extent. As Dean said, that really isn’t a quarterly run rate that we’ve had for a long, long period of time. So I think that’s kind of where you should think about it.
Tom Catherwood: Got it. Thank you. And then for Steven and Tom probably to you, thinking of Cambridge Kendall Square specifically in San Francisco, Mission Bay and probably even South San Francisco now. What are tenants doing in these tighter submarkets when they need to expand? And is there any material sublease space that can serve as a buffer for these companies?
Joel Marcus: Tom, hi. Steve go ahead.
Stephen Richardson: Hi, this is Steve. Why don’t I grab Cambridge first?
Joel Marcus: Sure.
Stephen Richardson: Yes, in Cambridge, the companies are scrambling. I mean they are having some challenges there. There’s not a lot of sublease space available. There’s a little bit. And there are – there’s not a lot of space under construction. We’ve got a building 399 Binney, where we’ve just finished negotiating a letter of intent for the balance of that building. We’ve had some tenant reconfiguration happening at Tech Square. And on the one Kendall Square campus, we benefited from the tightness Tom by the – verge in the case of one Kendall Square, where we’ve had a number of spaces, where we’ve been able to early terminate some tenants or reconfigure their leases. So that we can access space for the many tenants who are looking for a space in the market right now. And there’s been some movement to other submarkets as lease out space, Watertown, the Austin section of Boston and some under the 128 Beltway and a couple to the Seaport. But there continues to be very strong demand. We continue to take meetings with groups that are looking out three and four years now, because that’s when the next delivery opportunities for new construction are occurring. And people are cognizant of the tightness of the market and therefore, they’re planning further and further ahead.
Joel Marcus: Yes, I would echo very much what Tom said. We see certainly a strong impetus for early renewals, that’s just an imperative for these companies to lock down space oftentimes they’ve invested significant capital into the space. We’ve also seen that they are locking down adjacent blocks of space after the existing tenant lease expiration date. So forward committing to space two and three years down the road. And then finally, for the tenants that are ultimately displaced, we’ve been able to relocate a number of them in other facilities. South San Francisco is a good example at 681 Gateway to relocate and expand companies. So we’re in daily contact with these tenants through our operating teams and it’s a high-class problem. But it is something we work hard at every day. I hand it over to Peter.
Peter Moglia: Hey, Tom, it’s Peter Moglia. Just anecdotally, when you ask that question, the Seattle life science market is super tight as well. And one thing that we’ve seen is Juno continues to grow even after being acquired by Celgene and they actually have moved back into the building, they moved out of as a strategy to expand. So just another thing that you can do today with new product being delivered is reoccupy your old product.
Tom Catherwood: Got it. Thanks, guys.
Joel Marcus: Thank you.
Operator: And our question comes from Rich Anderson from Mizuho Securities. Please go ahead.
Richard Anderson: Thanks. Good afternoon. So I might have missed this, but what precluded providing, at least, an estimate of return for a few of your first quarter acquisitions? If it was said, I apologize, but I missed the rationale there?
Peter Moglia: The disclosures in our incremental package on acquisitions are included on page four.
Richard Anderson: Yes.
Peter Moglia: Most of the returns that are available have been disclosed. I can tell you that we’re working up the returns on the greater Stanford asset, as well as Quince Orchard. They are in process. And I think the…
Richard Anderson: What about those specific investments make them a little bit less visible at this point in time?
Peter Moglia: We are looking at multiple scenarios in the Stanford asset, which could modify the returns just a tad…
Joel Marcus: Lab or office…
Richard Anderson: Okay.
Peter Moglia: You’ll find that the return is going to be in line with what you would expect for that market and then 704 Quince Orchard same thing. We’re working through different alternatives there, but I think you’ll find that the returns are solid. And we will publish them at the right time, so stay tuned.
Richard Anderson: Okay. Dean you and I had a little conversation about this earlier in the week. But I thought I’d just put on the record a little bit. In terms of the same-store pool, can you talk about how that that collection of assets is adjusted from one period to the next? And if you could provide any sort of data on how that might actually move the number around if it does at all by virtue of the fact that it’s not a consistent pool from year-to-year?
Peter Moglia: Yes, I think, this goes back to Manny and Michael in the report that Citi issued probably about six months ago talking about…
Richard Anderson: I did not read that report no offense to Manny and Michael, so I just can’t.
Peter Moglia: Yes, so I just want to – it’s…
Joel Marcus: It wasn’t that good actually. It was highlighting best practices around reporting and they did touch on the lot of great things we did. But what they did to highlight broadly for the REIT sectors that there is some disparity in same-property methodology. I do want to first say that we’ve been very consistent on how we report our same-property pool, including a full reconciliation of the properties that are included and excluded. In fact, we did that one step further for multiple years. We actually showed the same-property performance calculation on three different methods just to give the investment community some sense that there are alternatives. And we think we’ve chosen the most conservative, meaning, the less – the least inflated type of methodology, meaning, that will drive the least amount of spikes upward in performance. Now getting to your question those same-property pool, we’ve looked at it consistently in the reporting period, Rich, and that period could be a quarter, or it could be a year-to-date or a full year period. And it’s applied in a sense that the asset has to be operating consistently for the entirety of the full period.
Richard Anderson: Okay.
Joel Marcus: Now the way, I think, the investment community and Michael and Manny highlighted it in their report was there was – they were asking the question. If you take the sum of four quarters, if the quarterly pulls are slightly different than the annual pull, do you get the same results for the full-year? We looked back just out of curiosity to see that what would change. It turned out there would have been a slight difference to 2017 same-property performance, slight – very slight, directionally the same message. And coincidentally for 2016 and 2015, absolutely no change in the overall performance for cash and GAAP. So long way of saying, I think, we’re looking carefully at the question you’ve posed, Rich, to be sure that not only do we develop best practices in our disclosure here, but it also that the market evolves to a methodology that just makes sense for same-property performance. So we’re monitoring it and stay tuned is the best thing I could say.
Richard Anderson: Okay. Last question, Joel, you alluded to more announcements to come. I’m not asking you to front run those announcements. But could you maybe give us a timeline and any kind of teaser on that at all?
Joel Marcus: Oh, they will be probably over the – and let’s see, we’re in the second quarter, so during the second quarter would be a fair timeframe.
Richard Anderson: Okay, great. Thank you.
Joel Marcus: Yep, thank you.
Operator: And our next question come from Jamie Feldman of Bank of America Merrill Lynch. Please go ahead.
Jamie Feldman: Great. Thank you. I know you had commented on the management changes and you guys have all worked as a team for a long time. But can you just give a little bit more clarity on the division of responsibility across the different levels in the C-suite?
Joel Marcus: So the – if what you’re asking is and I think, we’ve shared this with – probably we spoke to almost every analyst, I think, after the announcements came out. I think, we said that just generally speaking, Steve would take over the bulk of my responsibilities on the investor outreach and so forth. And team with Dean on that and he would be granular in certain specific regions beyond San Francisco, which he does now. And Peter would be focused heavily as he is now in his role as CIO with all of the leasing and much of the internal growth, as well as acquisition and obviously, on the underwriting. And so I think, that’s broadly and he would be focused on a set of separate regions. So if you look at those things that take up the bulk of our time, that’s kind of where the allocation of responsibility is.
Jamie Feldman: Okay. And what about at the President level? Has anything changed there?
Joel Marcus: Yes, I think we said that both Dean and Tom would broaden their responsibilities and spend additional time in other regions for Tom. And for Dean, who would be more granular with some of the regional teams than he has been strictly in his role as Chief Financial Officer.
Jamie Feldman: Okay. And then it sounds like there’s more to come just as we think about this year and even next year just incremental cost from the plan by the time all the dust has settled and all the change certainly?
Joel Marcus: Yes. So I think – yes, so I think we’ve said we’ve shared with the analysts and we’ve certainly shared with a number of investors who followed up with us. And I think Dean has been very, I thought pretty good in trying to explain it. There’s virtually no change in G&A for 2018. What I did was I reduced my long-term incentive stock comp by 50% and much of that was allocated between Steve and Peter. So that there would not be any direct increase or hit to G&A. And I think Dean has had a fair statement that literally there is no change. And I think G&A as a percentage of revenues today still remains in broadly the 8% range. So I think, Dean, you had something to comment?
Dean Shigenaga: Yes, it’s – G&A has been pretty consistent, guys. It’s roughly in the 60 basis point range as a percentage of total assets as an example. And no real significant G&A impact from the announcements of the executive changes. So I think the way to think about it too is, if you have to go outside and bring in a CEO, that’s where you actually load up and hire an additional executive to the team, which also somewhat suggest that compensation at the executive level for the front runners would be far off the mark for them even to step into that role. So we’re uniquely situated here with highly experienced executives, as you guys well know. And so there wasn’t a big step up on comp matters here across the Board.
Joel Marcus: Yes. And in my case, I thought Steve was probably worth it and Peter was not, but that’s just the way it ends up.
Peter Moglia: The government already took mine.
Jamie Feldman: All right, that’s helpful. Thank you.
Joel Marcus: You’re welcome.
Jamie Feldman: And then just to focus on some of the 2018 deliveries and even the 2019 deliveries that when you look at lease plus negotiation, you’re still looking at kind of less than 50%. So 5 Lab Drive, 9900 Medical Center and 279 East Grand. Can you just give us an update on leasing there, at least, tenant interest there?
Stephen Richardson: Yes, Jamie, it’s Steve. Again, out of that 2.3 million square feet, 2018 and 2019, we are 81% leased. So may be drilling down on 279 East Grand, Verily has taken 49% of the project. We’re fielding multiple offers for the property, so the demand is very high. I would expect we’ll be very selective and throughout the year have that fully resolved 681 Gateway in South San Francisco, similar situation, Twist Bioscience has anchored the project, fielding multiple offers as well. And it’s a range of small tenants, as well as additional pharma companies looking to enter the market. So overall, I’d say, we’re very bullish there. And then looking at 1818 Fairview up in Seattle, the negotiations are going well, as well as groups behind that kind of leading getting anchor there.
Joel Marcus: And on 5 Laboratory, I would say, there’s a fair amount of interest. We don’t deliver that till the end of the year. And we expect it is unique in that part of the world kind of the center of ag tech in the United States. And there’s virtually no available first-class campus for office lab and greenhouse.
Peter Moglia: I’ll finish up. 399 Binney has more demand than the space. We have that – the last 11% is highly competitive right now. So we’re settling on who’s going to take that. And then last one would be 9900 Medical Center Drive, a redevelopment that we have now 58% under negotiation. So we’re progressing as we believe they would.
Jamie Feldman: Okay. All right, Thanks and congratulations to everyone.
Joel Marcus: Thank you.
Stephen Richardson: Thank you.
Operator: And our next question today comes from Jed Reagan with Green Street Advisors. Please go ahead.
Jed Reagan: Hey, good afternoon, guys. Just a follow-up on Sheila’s question from earlier. One of your office REIT peers spoke this morning about their plans to target life science tenants for a development on Manhattan’s Far West Side near Penn Station. Just curious if you think there’s a legs to lab demand in that part of the city? And are you studying expansion into that part of town?
Dean Shigenaga: Yes, I think that you have to remember and the group probably is a very noteworthy developer. But I think the thing that you learn is, New York is really a – an early-stage life science cluster. It really originated out of academic and clinical expertise, but lacked really the – it doesn’t have lots of management teams that have done this before. It’s got much better risk capital, venture capital in the early-stage than it had when we started about a dozen years ago there, but still you can’t compare it even in the world to San Francisco or Cambridge. So primarily the New York market as it turns out and we’ve been at it now eight years and to build a cluster like that, to be a secondary cluster, it will never be a primary cluster, it’s about a generation, it’s about a 25 year process and the real thrust there is really very early stage seed and Series A stage companies spinning out of academic medical centers, those are the companies where there is activity. You aren’t going to bring a big pharma like you do in the Cambridge with hundreds of thousands of square feet, it just will not happen in Manhattan. So I think that people may tell what they’re trying to do, but unless they understand the market, unless they are able to handle the market, I think it’s going be hard going for them, because it’s just a very different market and a very different ecosystem in which it grows and that’s why you find virtually no other places in the United States outside of the Seattle, San Francisco, San Diego, Cambridge, New York in its early-stage, the Maryland, North Carolina, a lot of places want to do this, but it’s very, very difficulty, it’s literally next to impossible and people want to be in clusters where they can actually ramp up and hire people and hiring in New York City is possible, but it’s still hard.
Jed Reagan: That’s very interesting, thank you for that. And there were media reports recently that Alexandria was bidding for Santa Monica Business Park before one of your peers acquired it. To the extend you are able to discuss it, was there a potential lab conversion play there or were you interested in that asset more from a creative office perspective sort of tech office perspective and maybe in general what’s your appetite to grow in LA and do you see any momentum in that market from a life science perspective?
Peter Moglia: Hey Jed, it’s Peter, look, that is a great asset and we definitely felt it was worth looking, and it’s in our backyard, but to refute some of the press we were not in the best and final round. We dropped out and forgot that, but yes we were looking at it as a potential laboratory play for a portion of it. LA is an interesting market as Joel just said, it can take a decade to build something. We’ve been working on LA actually since the 90s and we’ve seen some positive signs that there could be something a foot. So just to be ahead of the game, we’re going to look at things like that that especially in locations that we think our client tenants would like to be in.
Jed Reagan: Great, I appreciate the comments.
Joel Marcus: Thank you.
Operator: And our next question today comes from Karin Ford of MUFG Securities. Please go ahead.
Karin Ford: Hi good afternoon. Can you update us on what the current space requirements are in the market in Cambridge, San Francisco and San Diego?
Joel Marcus: When you say space required, you mean just what the demand looks like?
Karin Ford: Yes.
Stephen Richardson: Karin, hi this is Steve Richardson. Yes, in San Francisco right now we’re tracking about 2.3 million square feet of lab demand, Cambridge is somewhat similar at about 2.5 million square feet of lab demand. Down in San Diego we’ve got a 1 million square feet, up in Seattle about 650,000 square feet. In Maryland, as we’ve been talking about for a while now has been recovering strongly, we have about 500,000 square feet of demand there. So, overall a very consistent healthy demand with prior years.
Karin Ford: Great, thanks for that.
Joel Marcus: And we would throw a footnote, in New York City for example, there is really no waiting line for lab space. It really is you have to take the spin outs one by one and if you’re going to go after any more established companies to put outposts in New York, you actually have to go after them and pitch them, but there’s no really established waiting line.
Karin Ford: Great, thanks for that. Have you started to see any positive impact from the tax cuts on your tenants?
Joel Marcus: Well, I think that a number of the companies both pharma and biotech have obviously had favorable impacts from tax reduction and repatriations that I’m sure has fueled some of the M&A we’ve seen here in the first quarter and probably will continue to see that. So I think in a sense that the margins we don’t see any big demand coming out of that per se, because I would say that big pharma through their normal course of going after products when they have a product that’s going through the pipeline and it looks very promising that tends to be the spur for expansion and I think a lot of those companies will use – they’ll invest in their R&D and we’ll see some expansion in the markets they are already in, but I don’t think we’ll see anything hugely dramatic from that, but it’s all positive that’s for darn sure.
Karin Ford: Great. Thank you very much.
Operator: And this concludes our question-and-answer session. I’d like to turn the conference back over to Mr. Marcus for any closing remarks.
Joel Marcus: Okay, well thank you everybody. We did it within an hour and appreciate it and talk to you next quarter.
Operator: Thank you sir, today’s conference has now concluded and we thank you all for attending today’s presentation. You may now disconnect your lines and have a wonderful day.